Operator: Good morning, and welcome to the United Rental's Investor Conference Call. Please be advised that this call is being recorded. Before we begin, note that the Company's press release, comments made on today's call and responses to your questions contain forward-looking statements. The Company's business and operations are subject to a variety of risks and uncertainties, many of which are beyond its control. And consequently, actual results may differ materially from those projected. A summary of these uncertainties is included in the safe harbor statement contained in the Company's press release. For a more complete description of these and other possible risks, please refer to the Company's annual report on Form 10-K for the year ended December 31, 2021, and as well as subsequent filings with the SEC. You can access these filings on the Company's website at www.unitedrentals.com. Please note that United Rentals has no obligation and makes no commitment to update or publicly release any revisions to forward-looking statements in order to reflect new information or subsequent events, circumstances or changes in expectations. You should also note that the Company's press release and today's call include references to non-GAAP terms such as free cash flow, adjusted EPS, EBITDA and adjusted EBITDA. Please refer to the back of the Company's recent investor presentations to see the reconciliation from each non-GAAP financial measure to the most comparable GAAP financial measure. Speaking today for United Rentals is Matt Flannery, President and Chief Executive Officer; and Jessica Graziano, Chief Financial Officer. I will now turn the call over to Mr. Flannery. Mr. Flannery, you may begin.
Matt Flannery: Thank you, operator, and good morning, everyone. Thanks for joining our call. I want to frame my comments today around one word, demand. 2022 is shaping up to be a year of record demand for our services, and this is the driving force behind the strong first quarter results we reported, and it underpins our decision to update our guidance. As you saw yesterday, we now expect our total revenue, adjusted EBITDA and free cash flow to be above our original outlook. This reflects the positive impact of the new cycle we talked about in January, and we're excited to continue that conversation today. I'll start with some highlights in the quarter. It became clear that this was not typical seasonality. Our rental revenue tends to be down from Q4 to Q1 as winter section, and that's true for the industry as well. But this year, we saw only about half of that normal decline. And as you may recall, we brought in more fleet than usual at the end of last year, and that capacity helped us to capitalize on demand and deliver strong results in key metrics. Our first quarter rental revenue and adjusted EBITDA both increased by 31% year-over-year to record levels, and we improved our adjusted EBITDA margin by 270 basis points to 45%. This gave us a strong flow-through of 57% for the quarter. And we also drove a 200 basis point improvement in return on invested capital to 10.9%. And while the numbers speak for themselves, it's the drivers behind the numbers that we want to focus on today. First, the underlying macroeconomic growth, which continues to move in the right direction, also, the sustained rebound in many of our end markets coming out of COVID; and lastly, rental penetration in the construction and industrial sectors. We expect all three tailwinds to continue for the foreseeable future. We're also confident that we're gaining share with key customers as we leverage our ability to solve their problems. This is the best way to further differentiate United Rentals in the customer's eyes. And importantly, we see runway here as well. And there's a future tailwind emerging from the infrastructure legislation. We're starting to have conversations with customers about federal projects that should kick off in 2023. And it's a diverse mix with projects for road and bridge work, water control, harbors and ports, and also on the power grid. I also want to call attention to something that may not be so apparent on the surface, which is just how good our team is at managing growth. When demand ramps up in our business, it requires a tremendous amount of operating discipline, especially with customer service. We're very fortunate to have a world-class team standing behind our strategy. There's tangible value to this, and we set the Company up to be opportunistic, and our people excel at execution. I'll give you some quick examples. The first quarter gave us a big lever for growth, with demand running above seasonality. We have the right people and the right fleet in place to pull that lever. And as a result, we achieved a 13% year-over-year increase in fleet productivity, with strong incremental flow-through to the bottom line. The team also excelled at safety, keeping our recordable rate below one for the quarter while safely on-boarding and training over 1,400 new employees. On the ESG front, we made headway on a number of initiatives. For example, in March, we added power bank systems to our fleet. These lithium battery packs have zero emissions and replaced some of the diesel fuel used by generators. The OEMs are beginning to move faster with R&D, which should make hybrid and electrical solutions more viable on job sites, and we welcome that because we're firmly committed to a sustainable future that makes sense for our customers. So stay tuned for more updates on that going forward. To flesh out the backdrop for everything I just described, our operating environment is, in many ways, the same positive broad-based outlook we shared with you in January, but with an extra layer of visibility. Our line of sight for the balance of '22 has improved based on what we saw in Q1, including the number of projects underway, with solid backlogs and the level of customer bid activity. Not surprisingly, our customer confidence index improved as well, and the underlying data supports it. All of our regions had significant double-digit increase in rental revenue. In fact, year-over-year growth in the first quarter outpaced the growth we saw in Q4. Another positive indicator is the continued strength in the pricing environment for used equipment. When we made a strategic decision to sell less equipment in the quarter relative to our initial plans to make sure we could take care of the customers in the robust demand we were seeing. But when you look at what we did sell, our OEC recovery levels improved from the fourth quarter, and our used margins set a new record. More broadly, the data on construction starts and backlogs, the ABI and the Dodge Momentum Index all remain positive. In fact, it's hard to find a leading construction indicator that isn't flash in green right now. We factored all of this into our guidance, along with some projected headwinds like inflation. We're not immune to the challenges in the macro, but we mitigated the impact of inflation in Q1, and we're confident that we'll continue to manage through any challenges successfully. So that's the big picture. And I'll round it out with some details at the market level. In the first quarter, our rental revenue from non-res construction was up 28% year-over-year, and infrastructure was up 17%. Industrial also trended up, with 13% year-over-year growth. And that 13% growth is encouraging because industrial was on its way to recovery before the pandemic hit. Once the supply chain is sorted out, we expect that industrial like infrastructure will be another sizable runway for us beyond 2022. Our Specialty segment had another excellent quarter led by our power business. Every specialty line delivered double-digit year-over-year growth in rental revenue, and the segment as a whole grew almost 48%, including the benefit from General Finance. It's been 11 months since we completed that acquisition. In the mobile storage and modular office business is clicked right into place. We've given these specialty businesses more resources, and they're cross-selling ahead of schedule. This has all the hallmarks of a home run for our customers. When we said at the time we closed that deal that we wanted the double size of that business in five years while 11 months in, we're firmly on track to make that happen. Additionally, in specialty, we opened 13 cold starts in the fourth quarter -- in the first quarter towards our target of about 40 cold starts this year. So to sum it up, I've conveyed the scope of the market opportunity going forward and our competitive positioning to capture that growth. The prevailing trends that matter to our business are market-driven, and our markets are healthy. It's why we've been bullish about this year from day one and why we raised our guidance when demand continued to track above our initial forecast. 2022 is off to a very strong start with all the makings of a year of record results. Now, Jess will go over those results, and then we'll go to Q&A. Jess, over to you.
Jessica Graziano: Thanks, Matt, and good morning, everyone. I'll build on Matt's comments by saying we are very pleased to have delivered record first quarter results across virtually every financial metric. That momentum carrying into the second quarter, along with strong customer confidence and our increasing visibility, supports the raise to our 2022 guidance for revenue, adjusted EBITDA and free cash flow. I'll share more on our updated guidance in a bit. Let's start with a closer look at the results for the first quarter. Rental revenue for the first quarter was a record $2.18 billion. That's up $508 million or 30.5% year-over-year. Within rental revenue, OER increased $392 million or about 28%. Our average fleet size was up 16.4%, which provided a $231 million tailwind to revenue. Fleet productivity was better by a healthy 13%, contributing $183 million, and fleet inflation of 1.5% was a drag on revenue of $22 million and rounds out the change in OER. Also within rental, ancillary revenues in the quarter were higher by about $99 million or 43%, which is mainly due to increased recovery of delivery fees and other pass-through charges. Re-rent was up $17 million. Used sales for the quarter were $211 million, a decline of $56 million or about 21% from the first quarter last year. We decided to sell less fleet so far this year, mainly to support the robust rental demand we've seen through the first quarter that we expect will continue into our busy season. The market for our used equipment continued to be very strong, supported primarily through better pricing and a higher percentage of fleet sold through our most profitable retail channel. Adjusted used margin was 57.8%, which represents sequential improvement of almost 560 basis points and year-over-year improvement of just over 1,500 basis points. Let's move to EBITDA. Adjusted EBITDA for the quarter was $1.14 billion, another record for us and an increase of 30.5% year-over-year or $266 million. The dollar change includes a $317 million increase from rental. Now in that, OER contributed $278 million. Ancillary was up $37 million, and re-rent added $2 million. Used sales helped adjusted EBITDA by $8 million, while other non-rental lines of business provided $11 million. FC&A was a headwind to adjusted EBITDA of $70 million driven in part by higher commissions on higher revenue. And as expected, we saw certain discretionary costs continue to normalize. Also coming in as expected were adjusted EBITDA margin and flow-through for the first quarter. Adjusted EBITDA margin was a solid 45.1%, up 270 basis points year-over-year, with a strong flow-through of 57%. This reflects, in large part, excellent cost discipline across the business as we manage inflation, including in areas like delivery and fuel. Increased fleet productivity and higher used margins also helped to offset not just inflation pressures, but the impact of normalizing costs like overtime and T&E. I'll shift to adjusted EPS, which was a company best of $5.73 for the first quarter. That's up 66% or $2.28 versus last year, primarily from higher net income. Looking at CapEx, gross rental CapEx was $482 million in Q1, which is higher than a typical first quarter and followed the fourth quarter last year where we brought in a record amount of fleet. And to Matt's earlier point, we've managed our fleet levels to service robust customer demand. So while our fleet levels grew sequentially in what is typically our slowest time of the year, we've put that additional fleet to work, supporting the 13% increase in fleet productivity I mentioned earlier. Our proceeds from used equipment sales were $211 million, resulting in net CapEx in the first quarter of $271 million. That's up $243 million versus the first quarter last year. Now turning to ROIC, which was a healthy 10.9% on a trailing 12-month basis. That's up 60 basis points sequentially and 200 basis points year-over-year. Importantly, our ROIC continues to run comfortably above our weighted average cost of capital. Let's turn to free cash flow and the balance sheet. We generated $572 million in free cash flow in the first quarter after investing a record amount in CapEx. We've continued to delever the balance sheet, which is rock solid. Leverage was 2.0x at the end of the first quarter, down 20 basis points sequentially and 30 basis points from first quarter 2021. I'll note that our leverage is currently at the lowest level in our history. Liquidity at the end of the quarter was a very strong $3 billion. That's made up of ABL capacity of just over $2.9 billion and cash of $101 million. A quick note on our share repurchase program. We spent $262 million through March 31 on our current $1 billion program, having bought back just over 800,000 shares. We still expect to finish that program this year. Let's look forward now and talk about our updated guidance for 2022, which we shared in our press release last night. Total revenue is now expected in the range of $11.1 billion to $11.5 billion or an increase of $450 million. That shared a number of insights on the demand environment, and that is what underlies this raise, broad demand we are seeing across the geographies in which we operate and the end markets we serve. We have confidence that we can capitalize on that strength in our end markets and flow that through to the bottom line. That will come largely from a combination of better fleet productivity and a continued focus on costs as we manage inflation in our business. As a result, we have raised our adjusted EBITDA range to be $5.2 billion to $5.4 billion, up $250 million from our previous guidance. At the midpoint, we will increase EBITDA margin by 150 basis points and delivered strong flow-through for the year of about 56%. Our range for growth and net CapEx is unchanged. We still expect to source $3 billion of gross CapEx at the midpoint. Now similar to our actions in the first quarter, for the full year, we expect to sell less fleet than planned given the demand opportunity. However, we expect proceeds on those sales will remain consistent with our original guidance considering the current strength in our used market. That leaves our net CapEx guide unchanged as well. And finally, our free cash flow guidance has increased $200 generate between $1.7 billion and $1.9 billion. That increase is mainly due to higher operating profit expected for our business this year. Now, let's get to your questions. Operator, would you please open the line?
Operator: [Operator Instructions] And our first question comes from David Raso. Your line is open.
David Raso: My question leads to the decision for the gross CapEx. The decision not to increase the gross CapEx, how much of that is a conscious decision focusing a bit maybe a little more on margins and returns versus just the inability from what you're hearing from your suppliers to get higher in the rest of the year above the original plan?
Matt Flannery: Sure, David. Well, the margins and returns are always going to be the first focal points in any year. But specifically, even with the demand environment that we're having right now, we pulled a little bit -- as you know, we spent a lot in Q4, as I mentioned in my prepared remarks. So we got ahead some running start. Then we even pulled a little bit more into Q1 to feed that strong demand. Unfortunately, we don't think we're going to have that same opportunity in Q2 as the Q3 orders are just not going to be able to be pulled forward. So, it is certainly -- our suppliers are working real hard to keep pace with the orders we have. I just don't think we're going to have the opportunity to accelerate. What that does, to your point, it gives a great opportunity for us to continue to focus on returns and margins. And I think that's what our updated guidance tells you we're focused on.
David Raso: With that being a focus, and I know the comps get harder on the time utilization, but how should we think about the cadence of fleet productivity the rest of the year?
Matt Flannery: On fleet -- you broke out a little bit. I assume you're talking about fleet productivity.
Steven Fisher: Yes. Correct. Fleet productivity.
Matt Flannery: Yes. So, as we talked about in January, we were going to have tailwinds on absorption/time here in Q1. And we did and we even exceeded our expectations as we talked about how this was a much different seasonal drop from a Q4 to Q1 rent revenues, then would be normal -- almost half of what normally would happen. So, that really drove that 13%. We'll lose that tailwind in Q2 through 4 here as we really got hot last year in quarters two through four. So, we'd be pleased to match that level of absorption. That leaves us full year still with a great opportunity to drive mid-single-digit fleet productivity. We don't try to forecast that, but just to help people see what's the gap between a very robust 13% and a full year number that'll probably look more like mid-single digits is really just the comps.
David Raso: And lastly for me, the incrementals for the year, right, you're targeting about 56%. Just curious, now that you have this level of visibility for the rest of '22, and we can debate what '23 is going to bring, but just from the way you played out the rest of the year in your budgeting, how should we just -- early stages, I'm not asking for '23 EBITDA incremental guidance, but just a sense of how much do you feel this 56% is sort of a sustainable rate? Or is it a little bit more about, hey, this is a year where it's still a little more focused on rate that could help drive the margins, maybe some year-over-year cost relief, relatively speaking, versus rate? Just trying to get a sense of how to absorb what is obviously a pretty impressive incremental that you're targeting for the whole year.
Jessica Graziano: David, it's Jess. I'll take that one at least to start. So, we feel pretty good that as we look forward, and to your point, I mean, we haven't even started the budgeting process for 2023. But I will say as we look forward at what we believe could be another good year for us, another growth year for us in 2023. We also feel really good that we would be -- we would continue to deliver flow-through in that 50% to 60% range, right, with the setup of a very constructive top line and then the cost management that you can expect, we will continue to focus on as we go into 2023. So, I would say, from our perspective, we're confident that with the right environment, we're still delivering this kind of a strong flow-through going forward.
Operator: And our next question comes from Rob Wertheimer. Your line is open.
Rob Wertheimer: So you look at your margin performance is up 460 bps on the outline to some of the best you've ever had. And I'm curious how much that -- you kind of touched that on operations to start the call. How much of that was -- rental rates have gotten good, maybe the industry a little constrained, maybe you have a little bit of a advantage through your millions of supply. And how much was just utilization, all the things you work on, on making operations smoother and keeping margins from the other side as volumes have been very strong. So maybe just -- was it at normal price? Or was it the whole package this quarter? That's my question.
Matt Flannery: Yes. I think it was really the whole package what we've been building to supported by robust demand, right? Let's not forget, top line growth does a lot and haven't set ourselves up to take advantage of that top line growth in a profitable way is really important. But that's not a light switch. We've been -- even though we don't talk about the components of fleet productivity individually, we certainly focus at the field level on those components on a daily -- some would say hourly basis. And we've built the tools for the team to be able to do that. So that's really what underlies it, the demand and the discipline to run the business effectively. And I'm very pleased that the industry is doing the same. Overall, I'm very pleased with the growth and the professionalism and the discipline of the industry as a whole. And I think that's what's driving these kind of margins as well as everything you know from having visited our stores, right? The processes that we've developed over many, many years, many of them embedded, if not all of them embedded and supported by technology improvements. So, really pleased.
Operator: And our next question comes from Steven Fisher. Your line is open.
Steven Fisher: Great. So with your view of mid-single digits on fleet productivity for the year, that obviously reflects a big slowdown from the 13% because, as you said, you've got the tough comps against really strong utilization last year. So, I guess maybe just to kind of frame for people, you can just remind us of the metrics that you're really trying to manage to and how much moderating fleet productivity matters to what you're really trying to achieve here because I don't know if you're anticipating somewhere in that back part of the year, fleet productivity being kind of negative or zero in any quarter, but how much does that matter to really what you're trying to achieve?
Matt Flannery: Yes. So -- and I know it gets a role -- I'll try to be helpful because I know as we've changed fleet productivity, it's a little confusing for some. But to be very clear, nothing is slowing down. There is a comp issue that we will no longer enjoy as we got really busy last year. So, fleet productivity is a year-over-year metric. Now, we do not -- certainly don't expect -- I very rarely say certain, but I'm pretty certain we're not going to have negative fleet productivity at any point this year. That would be inconsistent with the supply-demand dynamics and everything that we've talked about. All we're stating is from the time utilization comp that we no longer have, we're going to be relying on the other two factors alone to drive fleet productivity, but there will still be significant opportunities and will probably come in somewhere around mid-single digits. That's really how we're guiding people towards its fleet. Not a slowdown in any way, shape or form.
Steven Fisher: Okay. That's very helpful. And then, it seems like you've been able to manage fuel costs fairly real time. Can you just kind of give us a sense of what it is that differentiates your ability to manage that so well and some of the other cost inflation that you seem to be managing pretty well?
Jessica Graziano: Steve, it's Jess. So the first thing I'd say is the opportunity to pass some of those costs through, right, gives us that ability to absorb the increase and protect the P&L first. And then second, I would say, Matt mentioned a couple of minutes ago about the processes that we have and the technology that underscores those processes. Built within our technologies is the a fuel calculator that basically stays real time or as close to real time as possible with the changes in fuel prices that we then use as part of the equation for how we charge through delivery cost and delivery recovery. So, we're able to keep pace using technology across the network in ensuring that we're covering as much of that pass-through cost as possible.
Operator: And our next question comes from Ross Gilardi. Your line is open.
Ross Gilardi: Could you talk a little bit more about the growth you're seeing on the industrial side of the business? And what are some of the more structural pockets of -- that are driving the business, be it semiconductor capacity installation, BV technology, anything like that?
Matt Flannery: Yes. It's pretty broad, like most of the rest. I'd say chemical and energy leading the way, oil and gas. But the point I made about industrial is, if you guys remember, pre-pandemic, right, industrial had a couple of tough choppy years. We're starting to rebound just before the pandemic, and then it all got stalled. So those are markets that were stressed. And now to see that we have 13% growth in the beginning of green shoots, I really believe specifically in some of the end markets we're focused on, like downstream, like chemical, right, they're really going to start taking off, and we think it's going to create a future tailwind next year. And that's really the point that we're making about industrial overall. Now non-res, as you all know, I mean, non-res is up 28% for us, as I said in my prepared remarks. That's been running really hot. And this is without tailwinds, all these numbers of infrastructure, which we feel is coming. And we haven't even talked about on-shoring, which is another great opportunity as the world tries to figure out how to work through supply chains. There's a lot of conversation and hopefully funding put behind that opportunity here in North America.
Ross Gilardi: All right. Great. And then one of your suppliers in particular is talking about a transition evolution more to formula-based pricing. And are you hearing that consistently from all of your major suppliers? And does that make it harder to circumvent the cost inflation into next year on equipment? And are you doing anything in terms of committing to longer-term supply agreements to dampen the cost inflation into 2023?
Matt Flannery: Yes. So, we always talk to our vendors about opportunities and challenges on both ends, including rising costs, commodities. So it theoretically makes sense. We haven't put -- seen that put into practice for us, but we'll see what it brings. I love tying costs and pricing together as long as it's two-way street, but we'll see. We're open here. We talk a lot with our partners. We haven't really delved into that specific topic with them, but it's important for us to have open dialogue on that. And theoretically, I really like the idea of tying costs and pricing that directly together.
Ross Gilardi: All right. And then, Matt, maybe just lastly, what specifically are you hearing on U.S. federal infrastructure into next year? I mean do we have shovel-ready projects like ready to go by the end of '22? Or anything -- any subtle timing shifts that you've learned about relative to what you guys said last quarter?
Matt Flannery: No shifts, but I would say we always kind of thought it was going to start in '23. We're starting to hear more real planning type conversations where it's no longer just a discussion about when the funding is going to come, but people are starting to plan how they're going to activate materials, labor. So, not anything new, not anything that people don't have access to. But certainly, I'd say a louder more steady drumbeat.
Operator: And our next question comes from Jerry Revich. Your line is open.
Jerry Revich: Really nice performance from a free cash flow statement guidance and also on the balance sheet. I'm wondering if you could just update us on what your M&A pipeline looks like in specialty versus general rental versus how you're thinking about buyback from here?
Matt Flannery: Sure. I'll take the M&A part, and let's just speak to the buyback. The M&A -- probably boring for you to hear it, but it's true. The M&A pipeline remains robust. And we look at a broad spectrum of opportunities, including looking for those gems like General Finance that also would add new products to our portfolio. So, we're on the lookout. We don't have anything that's imminent right now, but the pipeline is robust, and we've had a couple of small deals that we've finalized here in Q1. And we're working the whole gamut, and we do certainly have a lean to specialty, specifically specialty that will add new product lines because using GFN as an example, it's really easy for us to grow those businesses once we put them into our network. And then Jess could speak to you on the share repurchase.
Jessica Graziano: Sure. So, as I mentioned earlier, we're $262 million into the $1 billion program. We're going to keep buying against that program. We'll finish it this year. You can expect us to continue to buy it in our normal way, right, with pretty consistent buys over the period. And we'll definitely look to finish that program this year. What comes after that, we'll see. We'll talk to our Board, and we'll let you guys know accordingly.
Jerry Revich: Okay. Great. And then, just the transition to the EBITDA margin performance this quarter. If we were to apply just normal seasonality off of the run rate that you folks delivered here, that would get a couple of hundred basis points of upside to your full year margin guidance. So I know it's super early in the year, but are there any onetime type items in the first quarter that might not be helpful over the balance of the year? Or anything we should keep in mind compared to that normal seasonal pattern?
Jessica Graziano: Yes. Great question. Jerry, there's actually nothing discrete that we would call out that you should be thinking about as a carry-forward into the rest of the year that affected Q1 or even something that we see affecting the rest of the year.
Operator: And our next question comes from Mig Dobre. Your line is open.
Mig Dobre: I want to go back to the fleet productivity discussion. It sounds like time utilization is no longer a lever, or if so, just maybe a pretty modest one. And that mid-single-digit comment that you provided, Matt, is largely driven by pricing, I'm presuming. So I guess my question is, from a pricing standpoint, what are you seeing out there relative to prior cycles? Because my guess would be that given how tight supply-demand of equipment currently is and the fact that we're seeing some pretty unusual inflation in terms of equipment costs, too, pricing right about now should be much, much better than what we have seen over the past decade. So if I look at something like 2012, for instance, you should be able to do at least what you've done in 2012 as far as pricing is concerned. So, I don't know. I'd appreciate some color here and if there's anything maybe that I may be misreading in terms of where we currently are from a pricing ability for the industry.
Matt Flannery: No. I don't think that you're misreading it all, Mig. I think you're dead on as far as the end market and the supply-demand dynamics. Where I think we maybe have to look at this through a different lens is, we did have a disruption technically a little bit in '15 from the time lines that you're speaking to in oil and gas and then, obviously, through COVID, but we didn't have those huge pricing declines, right? 15%, 20% declines that you had when you came out of '08, '09. So it would be normal not to have that kind of bounce back. But don't -- I don't disagree at all with your point about that we have an opportunity here to continue to focus and drive fleet productivity because of the supply-demand dynamics. It just may not be -- I wouldn't set '11, '12 as a baseline for that because there was so much recovery to get back. So -- but I think you heard from the others that report pricing is -- you've had both -- actually in the last two days, you've had both ends of that spectrum of the mid-single digits. And I think that's consistent with what the industry should be able to achieve, and we're very focused on.
Mig Dobre: Yes. No, I appreciate the point on comps. Then my follow-up, I got to go back to CapEx as well, gross CapEx. And at least optically, at the midpoint of your guidance, your gross CapEx is flat relative to what you've done last year. And I'm presuming that equipment pricing is probably up year-over-year. So again, I'm going to ask the same question that's been asked. Given the fact that the business is doing well, why should we be looking at flat gross CapEx year-over-year? What's the constraining factor? And then if there is a constraining factor, should we be thinking for maybe increased spend in '23 as maybe OEM's ability to convert on backlogs and delivery equipment hopefully increases?
Matt Flannery: Sure. So first, I'll touch on the first phase of the part about it being flat. Just remember how back-loaded that CapEx was to get to the $3 billion last year, a little bit of a misnomer. You could take whatever number you decide, would have been a normal Q4 last year. Whether it was -- we took in an additional $350 million or $400 million, that's really was a running start into this year. So you could comp those numbers differently if you wanted to. But technically, by the calendar, you're accurate. It would connote a flat year-over-year spend. There's certainly -- we certainly have more fleet than we started than that would note in this year. As far as the suppliers, I don't want to pick those guys up. They're working their tails off to keep pace with what already was high expectations of fleet. And we did a lot of planning early on so that they can even support a $3 billion CapEx year. And I just don't think it's realistic that they're going to be able to change the delivery slots right now for us to pull forward. And I said this earlier, our back half capital into the front half, which is really when it matters. Now if we decide at the end of this year that we let some more CapEx flow in Q4, maybe this number goes up, but it's not relevant to our conversation about this year's guidance. And that's why we think that the way we -- we're communicating it is accurate to -- for the expectations that we expected to live.
Operator: And our next question comes from Ken Newman. Your line is open.
Ken Newman: Once you go back to the leverage, obviously, it's back to the lowest level. I think you have on record. I know you talked a little bit about capital deployment priorities, but I wanted to ask a little bit more of a longer-term question and how we should be thinking about the leverage profile if closer to 2x is kind of the normal, or is there opportunities to drive that even lower?
Jessica Graziano: We're very comfortable, right, with where the leverage is right now. And as we even think about it looking forward, the priority for us from a cap allocation perspective is going to be to fund growth, right, and to have the dry powder available to be able to support M&A that makes sense for us to continue to grow the business from an inorganic perspective supporting the robust organic growth that you see us delivering this year. So our priority is going to be growth, it's going to remain growth. And we're going to want to make sure that we have that dry powder available to be able to action deals that make sense for us going forward. And we shared on a couple of calls ago, there's nothing magical about falling below 2x for any period of time. Instead, what we'll do is we'll look at what our pipeline looks like, how we can continue to supplement the growth of the business, what that cash need could and then. Again, together with our Board, talk about where there may be excess cash available with leverage in a good place, what does that look like for us to do other returns like a share repurchase program and maybe a dividend in the future. But at this point right now, we're good with continuing with the leverage range we have and keeping focus on growing this business organically and inorganically.
Ken Newman: Got it. And then just going back, I think you talked about incremental market share gains in the quarter. Obviously, you were able to pull forward some fleet into the quarter to maybe service some of that demand. Do you have an idea -- or is there a way that you can help us kind of bring out just how much share you think you're taking in this environment relative to some of your smaller competitors?
Matt Flannery: Not too early, right, not reliable data, but I think this has been a consistent theme of the industry where through growth funding, right, leveraging scale and consolidation. The top half of the industry continues to take more share, and we think, as we said before, the big is getting bigger is good for the industry. And I think it's proven out here in this cycle, the way that we respond to COVID and now the way that the supply-demand dynamics are being treated responsibly as well. So I don't have numbers that I would point to that are any different than what we have in our deck from last year, but I'd say the big is getting bigger is a trend that's been going on for quite some time and will continue.
Ken Newman: Yes. If I could just ask one more here, I just want to go back to your comments on the infrastructure conversations you're having with your larger customers. I'm trying to get a better sense of just the magnitude of some of these larger projects as you kind of look out into 2023. And obviously, the market is becoming a little bit more cautious on economic conditions. My view is that, if things were to come to a hard landing, infrastructure is probably a little bit more of a resilient catalyst for you given that the funding is already out there. So, maybe a two-part question here. One, do you agree with that? And then two, if that's the case, do you feel like you have the ability to secure a fleet or bring forward and service that demand if those projects are brought forward a little bit?
Matt Flannery: Yes. So I absolutely agree with you that it will be more resilient. And I think especially how much of this would be there for this work to be done, I absolutely think it would move forward in just about any environment. And as far as the fleet, we feel very comfortable. And remember that we serve -- 90% of the fleet we serve to this are the same type of assets we have already in our fleet. So they're very fungible. We can move and add as necessary. And most importantly, it's assets that our team is very comfortable supporting to the end market. And by next year, I mean, I expect, hopefully, by the end of this year, that the supply chain will be sorted out. I have no concerns about us being able to fund these projects.
Operator: And our next question comes from Stanley Elliott from Stifel. Your line is open.
Stanley Elliott: Quick question. You talked about the power bank and, literally, lithium battery packs. Is this something more that you're seeing your customers request from you? You've obviously made a big move on ESG. And then curious how those products rank in terms of the return on invested capital metrics that you guys follow so closely versus the rest of some of your other fleet?
Matt Flannery: So, I would say there are pockets of customers that are pulling in this direction, right? And it's usually because of where they're working, but also because they have their own goals, right, their own ESG goals and what they want to do in being a good responsible company in the world, and we want to support that. So, I'd say the OEMs are the real drivers here to help support this need and this desire, and then we're a conduit between the OEMs, but we're a conduit that's very active. And we're going to partner with OEMs and partner with customers to try new stuff. It's going to take some incremental funding that's tremendous, but moneys that we'll spend. At some point, the real viability of all this is going to be scale. And then the OEMs can build it more effectively and efficiently, and we can get the benefit of these new products and technologies into the marketplace broad-based. And I think that's -- once that happens, it won't be just a pull. It could be table stakes. So, we're excited to be part of that. And I don't know how long it's going to take, but it's good to see some movement happening, and we're going to participate aggressively in that move.
Jessica Graziano: And for the second part of your question, Stanley. To Matt's point, I think, we -- it's a little premature -- just a little too early yet to be able to see the full view on the return profile of these particular categories of fleet. Once we get to scale, then we'll have a better view of consistent or complementary or greater ROIC that would come from the investment in these types of categories of fleet.
Stanley Elliott: Yes. It's certainly small. But I think over the longer term, it does feel like that could be a nice tailwind to ROIC. Switching gears on the 40 specialty branches. Will this be more new locations to kind of help you build out the storage in the office piece? Or is this more across the broader portfolio? And then, I guess, given the differences in some of the product -- some of the newer specialty size, I guess, is it more difficult to find real estate and also get product shipped in?
Matt Flannery: So, it is across the board, but certainly, we're going to participate in that opportunity to grow our modular footprint in mobile storage, but it's across the board. It's those -- that team. And as far as real estate, it's actually -- it depends on the product line. It's -- but it's always a challenge, but we have a team working hard on that challenge, and we're comfortable there. The last piece of fleet, it's no different than the rest of supply chain, although I'd say steel boxes are easy to get right now than anything that has engines or chips. So, we've actually, after a slow start for the modular team and when we first bought them last year, really have ramped up -- even in the back half of last year, they already started loosening up. So that team is getting fed pretty aggressively and doing a great job. And I feel the growth of our specialty will be able to be supported. I think the OEMs are working through, and we feel comfortable supporting these cold starts this year and beyond.
Operator: And our next question comes from Scott Schneeberger from Oppenheimer. Your line is open.
Scott Schneeberger: Great. On the theme of specialty, I think you all back in 2019, we're targeting five years out about $3 billion of specialty revenue at the end of last year and then commentary today on the call that GFN is going well and feel really good about doubling that within five years. So I'm just curious, maybe a progress update, Matt, on where you think specialty is in the next few years and how much of that is organic. I know it was addressed earlier on M&A. They usually are big targets out there. But just thoughts on organic and how you get there, and please put in any M&A comments as well.
Matt Flannery: Sure. So as you can hear, it's an end strategy for us, right, not an old strategy on organic and acquisition. But the part that we control is the organic. So, we don't need anybody else to dance with us to do that. So we've been very aggressive with cold starts over the past few years in specialty. And specifically in the modular storage and storage business, we really have a lot of white space to grow in organically. But we're growing all of our specialties with cold starts, and we feel comfortable about that growth. We've been saying this for a while now. Power, who's one of the more established specialties still showing tremendous growth, and we think that penetration is part of the story, even for those that are moving along the maturity level of filling out their distribution points. So, we're at different levels depending on product. But all in, still have a lot of opportunity, both in filling and white space and more secular penetration with our specialty products. So, we feel good about it.
Scott Schneeberger: Great. Appreciate that. And just as a follow-up, oil and gas obviously performing very well right now, you said it earlier in this call that back in '15, '16, there was oil price impact. We're at the other end of the spectrum right now. Just curious how your -- maybe some commentary on how it's going, percent of revenue and any limitations on size you want in that business given the cyclicality nature of it or what you see as far as driving the wave here?
Matt Flannery: Sure. And we'll look at oil and gas in two spots, right? We'll separate the upstream and the downstream. But overall, oil and gas grew, when you just look at upstream, downstream and midstream, 19% in Q1. So, that's what we're talking about. They're showing great growth. But the area where we're even more focused on will support the upstream for the right customers. And I think you've heard us say, we'll manage how far and how hard we go with that business. But downstream is a totally different animal for us. We're inside the gates in so many of these refineries and had such long-standing strong relationships with these folks, that, that's going to be supported with all of our might. And so we're excited about that. As I said earlier, those markets have been down for a while, and to see that growing right now is really important. As far as the percentage of our business, energy, all in, is about 10% of our total revenues with, as I mentioned earlier, downstream being about half of that. So, it's -- this is a big part of our opportunity of future growth.
Operator: And our next question comes from Seth Weber from Wells Fargo. Your line is open.
Seth Weber: Just a -- tying together a couple of questions here from what you guys have touched on a little bit. But just -- I noticed the specialty CapEx was more than 25% of your total for the quarter, I think 27%, which is a pretty high number relatively. So is that kind of the right mix to think going forward for this year? Because one of the -- the flip side of like why aren't you adding more fleet is there is -- there are some concerns about just equipment supply in market. So if it's a bigger slug of your CapEx is actually specialty that might help people understand that it's not all gen rent. So, can you just talk to the mix -- the CapEx mix going forward?
Matt Flannery: Sure. And that mix isn't too far off of the way that the revenues are distributed. So maybe bolstered a little bit by the fact that we were able to get stuff like containers faster, right? They're not really supply constraints there. So some of the specialty products we were able to accelerate when you look at it by the quarter. But full year, that's not too far off of how we look at how we want to fund specialty. And part of it is the cold starts, but part of it is the continued opportunity and growth opportunity they have in the network. So, it might dampen a hair from there, but not tremendously. And we're all in on supporting our specialty growth as well as our full portfolio gen rent growth.
Seth Weber: Right. Okay. And then, Matt, in your prepared remarks, you talked about cross-selling with General Finance and the Specialty business. Are there any metrics that you can give us around cross-selling or share of wallet with some of your national customers or anything that you could share to that would help us understand the progress that you're making there?
Matt Flannery: That's a little too much secret sauce for my liking on open mic. But all kidding aside, we think that -- not anything that think we're going to share publically but we think the philosophy behind having a broader portfolio, solving more problems for customers, has been key to our strategy for many, many, many years. And we're just continuing to further that line of thinking with adding new products and a broader network. So, not metric-driven, but certainly retention-driven, and we're really pleased with the level of retention that cross-sell brings as well as growth. So, very pleased.
Operator: And our next question comes from Stephen Volkmann from Jefferies. Your line is open.
Stephen Volkmann: Just a couple of really quick clean ups. I think you said seasonality in the first quarter was a little better than you expected. Do we get normal seasonality as we move into the second quarter?
Matt Flannery: Yes. I think for the -- what we are -- what's embedded within our guidance is what we expected for the normal seasonality in the balance of the year. So, this is really about -- and it was more than just a little bit better. It was, in 31 years, the best I've seen in Q1. So, we're now starting off a higher base and adding our normal seasonality. And that's the way we look at the year, and the trends are heading in that direction. So, I think this updated guide is appropriate.
Stephen Volkmann: Okay. Great. And then, I think you said some discretionary costs normalized in the first quarter. Does that also occur in the second quarter, and then maybe it's sort of done in the second half, but just any thoughts there?
Jessica Graziano: Sure. It'll carry through the year. If you think one of the biggest areas is T&E, that's something that's recovering from essentially nothing during the COVID period. So, we do expect we're going to see that through the end of the year, and that's assumed in our guidance as well. Over time, another area, kind of same phenomenon, if you will.
Operator: And with that, I would like to turn it back to Matt for closing remarks.
Matt Flannery: Thank you, operator, and thanks, everyone, for joining us. As you can see, we're clearly bullish about how this year is playing out, and we have a high level of confidence in our outlook for 2022. And we'll have more to share in July. So look forward to talking to you then. In the meantime, you can give Ted a call at any time with any questions or comments. With that, have a great day. And operator, could you end the call?
Operator: This does conclude today's program. Thank you for your participation. You may disconnect at any time.